Operator: Welcome to AG Mortgage Investment Trust's Fourth Quarter 2020 Earnings Call. My name is Sylvia, and I'll be operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session.  Please note that this conference is being recorded.  I will now turn the call over to Christopher Moore. Mr. Moore, you may begin.
Christopher Moore: Thank you, Sylvia. Good morning, everyone. Welcome to the fourth quarter and full year 2020 earnings call for AG Mortgage Investment Trust. Before we begin, please note that the information discussed in today's call may contain forward-looking statements. Any forward-looking statements made during today's call is subject to certain risks and uncertainties, which are outlined in our SEC filings, including under the headings cautionary statement regarding forward-looking statements, risk factors and management's discussion and analysis.
David Roberts: Thank you very much, Chris. Good morning to everybody. Our goals for MITT continue to be increasing the Company's long-term earnings power while maintaining adequate liquidity as well as increasing book value. We continue to emphasize residential whole loans as a key part of our strategic direction, given the significance of our investment in Arc Home and our experience and expertise in the non-QM space. I am pleased to report that our adjusted GAAP book value per common share increased to $3.94 as of year-end compared to $3.08 as of September 30. Our adjusted book value excludes as an asset, the capitalized issuance costs of our preferred stock and therefore, is about $0.20 lower per share than GAAP book value. As well, January was a positive month for our book value in our company, and we have estimated that our adjusted book value as of January 31 is in the range of $4.15 to $4.25 per share. The increase in our book value quarter-over-quarter and in January was driven primarily by a rise in the value of our residential whole loans and our CMBs as well as continued strong performance from our mortgage affiliate, Arc Home. As we announced in November, the Board approved the payment of accrued and unpaid dividends on our preferred stock in December, and we have returned to normal course dividend payments on our preferred stock with the first quarter dividend payable on March 17. In the fourth quarter, we also reinstated the dividend on the Company's common stock. With that, I will turn the call over to our Chief Investment Officer, TJ Durkin.
Thomas Durkin: Thank you, David, and good morning, everyone. During the quarter, we executed on accretive opportunities to strengthen our capital base by redeeming 1.3 million shares of preferred stock in exchange for 4.6 million shares of common stock and $8 million of cash in two separate transactions. We also utilized our ATM program to raise net proceeds of $2.4 million through the issuance of 700,000 shares of common stock. Subsequent to year-end, we sold two of our four remaining commercial real estate whole loans at prices slightly above our year-end marks. We reinvested that capital into both agency whole pools and entered into agreements to purchase approximately $73 million of non-QM whole loans. Turning to our presentation on Page 5, we present the fourth quarter portfolio update and snapshot of the portfolio for January month end. During the fourth quarter, we increased the size of the portfolio from $1.10 billion to $1.4 billion, mainly through agency purchases of approximately $273 million, while increasing the portfolio's leverage from 0.9 turns to 1.5 turns of economic leverage. We continue to deploy capital in the first quarter of 2021 into agency mortgages and non-QM whole loans. The effects of these transactions have grown our portfolio further to $1.6 billion with a corresponding economic leverage ratio of 2.2 turns as of January 31. And again, putting this all together, as David previously mentioned, the effect of all this activity has improved book value in 2021 year-to-date, and we have estimated our adjusted book value as of Jan 31 in the $4.15 to $4.25 per share range. Turning to Slide 6. Again, we want to highlight the strong performance of Arc Home, our licensed mortgage origination affiliate during 2020. Arc Home achieved overall growth in origination volume of 136% year-over-year and generated $49 million of net income for the year. During the fourth quarter, the team at Arc continued to take advantage of the tailwinds in the mortgage banking sector with another strong quarter in both volume and margins within the agency channels. As we stated on our second quarter earnings call, Arc Home was one of the first originators to reenter the non-QM business post COVID. And you can see clearly how this product represented an increasing percentage of Arc's fundings in the fourth quarter. We believe this early reentry into non-QM will build strong brand awareness and recognition for Arc Home in the non-agency correspondent and wholesale markets as the agency refi wave begins to recede over the near to medium term.
Anthony Rossiello: Thank you, TJ, and good morning, everybody. During the fourth quarter, we reported net income available to common stockholders of approximately $47 million or $1.16 per fully diluted share. Earnings were driven by asset appreciation in our credit investments as well as $10 million of earnings from our equity method investment in Arc Home, which is held in the taxable REIT subsidiary. As you'll see on Slide 12, we provided a reconciliation of our GAAP book value per common share, which increased $0.79 during the quarter. This increase reflects the combined impact of our current quarter earnings and the preferred stock exchanges transacted in October, offset by the preferred and common dividends reinstated during the fourth quarter. In addition, we utilized our ATM program to issue common stock for net proceeds approximating $2.4 million. As David noted earlier, we also disclosed adjusted book value per common share of $3.94, which is computed based on total equity less the entire liquidation preference of our preferred stock. We're introducing this metric to supplement GAAP book value per share, which is computed using the carrying value of our preferred stock on balance sheet. Although we previously disclosed the liquidation preference of our preferred stock, we believe also disclosing adjusted book value will provide transparency into the impact of liquidation preference on common equity. Turning to Slide 13. As the Company has now stabilized and we've reinstated both the common and preferred dividends, we disclosed the reconciliation of GAAP net income to core earnings for the fourth quarter, recognizing core earnings of $0.22 per common share. During the first three quarters of the year, we did not disclose core earnings, as we determined this measure did not appropriately capture our business, liquidity, results of operations, financial condition or our ability to make distributions to our stockholders.
Operator: Thank you. We will now begin the question-and-answer session.  And our first question comes from Doug Harter from Credit Suisse.
Douglas Harter: Hoping you could talk a little bit more about kind of the expected pace of capital deployment into non-QM loans, kind of how you think that market continues to develop? And I guess, just talk about how MITT gets this allocation relative to other Angelo Gordon funds just as we think about the sizing potential?
Thomas Durkin: Yes, sure, Doug. So I think we're seeing the market come back in terms of volume. There's obviously competition out there, but we're pretty active in both. I think the competitive bulk auctions that are going on, and the team here is actively working more on a bilateral basis with some originators that we won already have more flow bilateral agreements with, and we're looking to expand that acquisition channel over time with other counterparties. In terms of the allocation, I mean, we have a sort of Angela Board and the manager has a compliance approved allocation process for all our trades, not just non-QM, that's -- we have, I think, details in the K on, but happy to walk you through in more detail. So, there's nothing indifferent about non-QM versus any of the other investments we're doing.
Douglas Harter: Sure. And I guess just if you could talk about how you're financing those assets and kind of what -- kind of what sites besides you would need to consider kind of securitization financing?
Thomas Durkin: Yes. So we're using, I would say, traditional warehouses currently. And I think we're aiming to term those out once we get to what we deem to be critical mass in terms of being able to amortize the fixed cost of any securitization, which generally speaking, we target around $250 million of loans as that threshold.
Operator: Our next question comes from Bose George from KBW.
Bose George: Actually, first question is just on, room for further recovery on book value. How should we think about that?
Thomas Durkin:
Bose George: So, okay, great. And then actually switching over to just the earnings power of the existing portfolio. Can you just talk about the earnings power? And also just in terms of whether there's room to increase leverage? Just how do we think about the run rate of earnings of this business?
Thomas Durkin: Yes, sure. I mean I think we're sort of displaying that we're prudently growing the portfolio with increased modest leverage quarter-over-quarter and quarter-to-date versus year-end. I think we'll continue to look to grow the portfolio. We do think that looking at the assets that we're owning, there's certainly room to run in terms of increasing the leverage prudently, which obviously would flow down into increased earnings power. So I mean, I think we would expect to continue to do that.
David Roberts: And it's David, just to add that, part of that prudence is the -- obviously, the nature of that leverage. So, as TJ mentioned, creating the opportunity to do securitizations, we obviously view securitized leverage as part of that overall prudent leverage strategy. Sorry to cut you off.
Bose George: And just to follow up on the return. So is that -- should we think about it sort of as a -- would have a low double-digit ROE on your book value? Because obviously, the core earnings this quarter were much higher than that, so I'm just kind of trying to piece that together in terms of how we sort of model it.
Thomas Durkin: Yes. I think it's obviously hard to model. Obviously, the mortgage banking sector experienced generational ROEs in 2020. We all expect those to come down into '21. We don't know how much and how fast, but we would expect that to not be a repeat within 2021. And then at the same time, on the other side of the portfolio, we are increasing that capital invested and the portfolio is growing via the leverage increase we just talked about. So, it's probably from February today, hard to exactly model, but I mean, I think that's generally how you would think the earnings power is going to shift in 2021 versus 2020.
Operator: Our next question comes from Trevor Cranston from JMP Securities.
Trevor Cranston: A question on the agency investments. It sounds like the real core focus right now is more so on the non-QM space. Should we think about the agency investments more so as a place to deploy liquidity, pending loans that you can acquire in the non-QM space? Or are you guys approaching the agency more so as a core part of the portfolio going forward? As a second part of that question, can you talk about where you're seeing returns on the agency investments? Thanks.
Thomas Durkin: Yes. So maybe working backwards, I think if we were to look at the agency market in the way we're hedging it with sort of a standard 9:1 type leverage ratio, we're probably at around 10. I think as a portfolio, yes, we are focusing the kind of operating business plan into -- focused on the whole loan side. We do want to manage our liquidity and our earnings power with agencies. We also want to be conscious of our  test. And so it's accomplishing, I would say, probably those three things.
Operator: And the next question is from Eric Hagen from BTIG.
Eric Hagen: We've seen several mortgage REITs call pieces of their preferred capital structure, I would love to get your thoughts on. Whether you're looking at potentially a similar move and whether you feel comfortable with the liquidity in the room on your balance sheet to make that happen? And second question, can you just provide some detail on how the re-performing and non-performing loans are being financed in the advance rate and cost of funds and such on that piece of the portfolio?
David Roberts: Can you repeat the first part of your question, you said certain REITs are -- I just didn't hear the verb?
Eric Hagen: Yes. Sorry about that. Yes. I'm asking about mortgage REITs calling pieces of their preferred capital structure and whether you guys feel like you have the liquidity and room on your balance sheet to make a similar move?
David Roberts: We're always going to be looking at the best use of our capital and also looking at what is the right scale of the Company. So, we'll take those two -- taking those two into account, I can say that there are no current plans to call our preferred issue.
Eric Hagen: And then in terms of the NPL book, I mean, that's -- the majority of that is financed through securitization currently. Okay. And what's the breakdown of re-performing versus nonperforming in that portfolio?
Thomas Durkin: I don't have that in front of me, Eric. We can definitely get back to you on that.
Eric Hagen: Okay. And then on the GAAP book value versus adjusted book, curious how you guys think about capital raising and the level of accretion, do you -- are you guys using the GAAP number or the adjusted number as a level to potentially execute more capital issuance?
Thomas Durkin: Yes. I think we put that in, in response to some investor calls we've had over the past couple of quarters, just to show, I think, more in line with some of the way some other REITs are reporting, how their prefers show up on their book value. So in some ways, it's trying to flatten the numbers between some of the other REITs and how we've been reporting it. It felt like investors were telling us we were doing it. The majority of the REITs we're doing in a different way, and we're trying to show both.
David Roberts: Yes, and we thought it was more realistic. I mean more accurate, I should say, as well.
Operator: We have no further questions.
David Roberts: Terrific. Well, thank you very much for joining the call, and we look forward to giving you a report after the first quarter. Wish everyone a good day and a great weekend. Thank you very much.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.